Operator: Ladies and gentlemen, thank you for standing by, and I would like to welcome you to Fibra UNO 4Q 2023 Results Conference Call on the 27 of February 2024. At this time, all participant lines are in listen-only mode. The format of the call will be a presentation by the management team followed by a question-and-answer session. So without further ado, I would now like to pass the line to Mr. Andre Elman, the CEO of Fibra Uno. Please go ahead, sir.
Andre Arazi: Thank you, Michael. Thank you, everybody, for listening to our call. We are very excited about the results posted yesterday, the results of full year 2023. As usual, I am very excited and very happy about reporting these strong results for 13th year in a row, record high breaking, 13 years in a row. So we are very happy and very excited about our results. We have been building a best-in-class company year after year, and we have been reporting this construction of this best-in-class company year after year. We have been enhancing our reporting and overwhelming in the ESG front. We have been recovering occupancy levels to a new record high. Our strategies continue to be in place, market environment have improved since November, and we continue to work closely with authorities to get final approvals. All the activity here and seen in the market of competitors -- by competitors only confirms our own disputed leadership and the huge difference between our portfolio and others. These frantic moves will not get anyone near the quality, size and projection that our portfolio has, especially in the industrial front. We strongly confirm that next its partnership with Hopital portfolio, its growth, horizon, and it's amazing projection to continue the growth and the establishment of the best in class and the largest company in the country are untouched. The subsequent capital structure improvement as well as these projections are finished and will become operative soon. The only pending item if so, will be the Fibra regime and the IPO placement as one. The rest of the company is running smoothly, as you could see in the report, our results talk for ourselves. And I think that having said that, I can pass the mic to Jorge in order to go in that of the numbers. Thank you very much for your attention.
Jorge Pigeon Solorzano: Thank you very much, Andre. Going into the quarterly MD&A figures, starting with our revenue line. Total revenues for FIBRA UNO increased by MXN 335 million to reach almost MXN 6.8 billion for the quarter. That's 5.2% above the third quarter of 2023, which I'd like to highlight, it's a very impressive number for that kind of growth on a quarterly basis, mainly attributable to a composition of different factors. A 100 basis point increase in the consolidated occupied GLA for the company and now describe our occupancy gains for the quarter and obviously the year, which we are very pleased with. Rental increases from inflation pass-through in our active contracts, the positive leasing spreads or rental increases in lease renewals. And this was obviously partially offset by the exchange rate appreciation, which has a negative effect on our U.S. dollar-denominated contracts. All in all, we increased revenues by 5% quarter for the quarter. In terms of occupancy, we are very pleased, very happy to share with you that FUNO is once again at the 95% average occupancy for the portfolio as of the fourth quarter of '23, that's 100 basis points above the occupancy of the third quarter of 2023. The industrial portfolio continues to perform very strongly. We closed the quarter at 98.5%, which is 90 basis points above the third quarter of 2023. The retail portfolio, we are approaching 92% occupancy. We saw 110 basis points increase above the third quarter of 2023. As we've mentioned, we started seeing a strong recovery of the retail segment. And we are very pleased to share with you that we recorded an occupancy of 81.7% for our office portfolio, which is 200 basis points above the third quarter of 2023, and almost 5% growth year-over-year for this segment. So very happy actually to share with you that we were able to close the year above 80% occupancy, which was our guidance or our expectation for the office segment. So very happy with the performance of that. Others remains above 99%, 10 basis points compared to the previous quarter. In the service portfolio, 87.4%, 5% below the third quarter. This is mainly due to the exit of Galerías Valle Oriente from -- the Hotel Galerías Valle Oriente from the in-service category. So very pleased with the occupancy that we are showing, which was a strong focus of ours post pandemic to recover occupancy in the portfolio. So that goal has been achieved. In terms of operating expenses, we still have some work to do to contain the growth of expenses. We have an increase of MXN 132 million or almost 17.5% from the third quarter. There is some seasonality to this figure as well as some increases in services and provide self-services and our suppliers, which are above inflation. Property taxes decreased by 2.9% and insurance expenses increased by 1.3%, basically no major change compared to the previous quarter. At the end of the day, this results in a net operating income increase of MXN 81 million or 1.6% compared to the third quarter to reach MXN 5.1 billion, with an NOI margin of 83.6%. Interest expense and interest income, we had a net interest expense decrease of 0.3% or minus 0.1%, basically flat compared to the previous quarter. This is due to a combination of factors, the exchange rate appreciation from 17.7% to 16.9%, so MXN 0.70 or a little over MXN 0.73 per peso as well as the capitalization of interest expenses for MXN 544 million. As a result, funds from operations controlled by Funo increased by MXN 89 million, the same MXN 89.5 million almost that we saw on an NOI basis or 4% compared to the previous quarter. Adjusted FFO the same figure an increase of MXN 89.5 million or 4% above as of the third quarter reaching MXN 2.3 billion. On a per CBFI basis, FFO and AFFO did not change the share count that we had during the quarter, we ended up with 3.8 billion CBFIs outstanding. So the growth in FFO and AFFO per average CBFI was again 4%, reaching MXN 0.6058 per share, -- a little over MXN 0.60 a share. In terms of annual distribution, -- as you know, we've had and continue to have a situation where we have a positive effect from FX gains, which is a noncash item, and it affects the net taxable income calculation. We continue to have a positive effect or a gain, a noncash gain from inflation effect on our monetary position and the deduction that we are able to do from the depreciation of real estate assets at the end of the day, this has resulted in a higher net taxable income than the funds of operations that the company has generated over the last two periods, basically 3% above that over the last two years, and that's why you saw us distribute -- announced distribution for the fourth quarter of 2023 of -- into payments, one that has already been made. The other one will be made before March 15. Moving to the balance sheet, accounts receivable totaled MXN 3.5 billion, an increase of MXN 360 million, 11% against the previous quarter, a result of regular business operations. In terms of investment properties, the value of our properties, including what we call the financial assets, which is basically the more portfolio increased by MXN 3 billion or 1% compared to the third quarter of 2023, which is a combination of fair value adjustments at this quarter done by an independent third-party appraiser, normal progress in the construction of our projects under development and CapEx invested in our operating portfolio. In terms of debt -- total debt for the fourth quarter of 2023 closed at MXN 129.5 million compared to MXN 131.7 billion recorded in the previous quarter, a valuation, a small reduction of variation, mainly due to exchange rate valuation. As I mentioned, the peso went from MXN 17.73 to MXN 16.99 per dollar. We saw the prepayment of the 13-2 bond for MXN 3.1 billion, with the issuance of the 23-3L bond for MXN 1.5 billion in December during -- in December 1 of last year, net increase in bilateral lines of credit of MXN 2.5 billion and the disposition of Portal Norte mortgage loan for MXN 300 million. So all in all, almost a flat quarter in terms of variation with some refinancing activity done during the third quarter. In this regard, even though it is not part of the quarterly results, I would like to highlight the liability management activities that we carried out recently issuing new 2034 US Dollar bonds, the proceeds of which will be used to refinance doing a make-whole call the existing 2024 Phonon that mature in December. So basically, with this, we eliminate all of the refinancing risk that we have, especially in the dollar market, the next important or relevant maturity we have comps do all the way to 2026. So we feel very comfortable in the situation in which we are with this refinancing. In terms of total equity, it increased by MXN 4.3 billion or 2.3%. It's basically the combination of net income generated from results, derivatives valuation, the shareholder distribution as well as the effects of the employee compensation plan. I'd like to highlight in the leasing spreads moving to the operation results. Leasing spreads for contracts renewed in pesos for our Industrial segment were 16.8%. So we continue to see high double-digit leasing spreads in the industrial segment. In the retail segment, we had 660 basis points, 500 basis points in others and even the office segment recorded an increase of almost 2%. So very comfortable with that. In terms of dollar-denominated contracts, 10% increase in the retail segment, 4.8% in the Industrial segment and a negative 780 basis points in the office segment. So pretty much in line with our expectations, as we mentioned, of a very solid industrial segment, a very strong retail segment and the OpEx segment with occupancy gains and more or less stable rents in the overall. In terms of constant property performance, rent per square meter increased by 3% compared to -- with an annual inflation of 5.1%. This is mainly due to the FX appreciation of almost 10% during the year. And the effect that this has in our dollar-denominated rents as well as the natural lag that we have in the inflation pass-through of our contracts. At the subsegment level, rent per square foot decreased from 12.7% to 12.6% compared to last quarter, and this is mainly due again to the FX appreciation. So when you translate the dollars that you generate to a lower exchange you end up with less pesos, and we report in peso terms. So it appears as do we have lower revenues. In terms of NOI at the property level for the quarter, despite the FX effects, we increased 4.2% compared to the previous quarter. For the Logistics segment, we had an NOI increase of 4.7% on a quarter-to-quarter basis. The light manufacturing NOI was almost 9%, 8.8% on a quarter-to-quarter basis. Business Park was basically flat at an increase of 0.8%. Obviously, affected by occupancy, the general strong dynamics we have in the industrial sector and obviously, the rent levels that we have. In the office segment, NOI decreased -- increased, sorry, by 2%, mainly due to the recovery in occupancy. Retail segment, we saw stand-alone NOI decreased by 1%. Regional centers increased by 1.3%. Fashion Mall increased by 12%, mainly due to rent renewals and occupancy gains. The other segment NOI increased 7.6%, mainly due to an increase in variable rents that we are seeing from our hotel operations. So again, very pleased with the operating performance that we have in the portfolio. And with this, I conclude the presentation of the MD&A section. I would like to open the floor to Q&A.
Operator: [Operator Instructions] Our first question comes from Mr. Francisco Chavez from BBVA Group.
Francisco Chavez: Hello. I have two questions. The first one is regarding the internalization process. Can you let us know a potential time line of this process? And any color on the specifics? How is it going will be useful? And the other question is regarding the NOI margin. We haven't seen this 75% margin since early 2020. How sustainable are the increases in administrative and operating costs? And what measures are you taking in order to counter this increase?
Andre Arazi: Thank you, Francisco. We are working very hard on containing the expenses. The expenses have suffered a lot of inflation in the last couple of years. But I think we've reached a peak and we will try to improve in the next coming quarters that number. I don't see a trend here -- trend to improving those numbers because we have been putting in place a very strict policy on expenses. As for the internalization process is underway. We are working on that. The internalization process was contingent to the next IPO and all the next transaction as you know it. But nevertheless, we have been working and we have been advancing a lot in that sense. So it's underway, and we will conclude it in the next coming months.
Operator: Our next question comes from Mr. Anton Monte Cote from GBM Group.
Q –Unidentified Analyst: Just a quick one. Considering the high FX gain on U.S. dollar debt, which was significantly higher than the one in 2022. Could you provide some color on how you managed to offset this noncash gain in order for the fiscal result to not be as high? Or could we expect any additional announcements in terms of distributions.
Andre Arazi: Well, this year, we had the experience that the -- affection that we suffered about the currency exchange rate was one affection only. Last year, we had the worst of the two worlds. We had the affection on the currency exchange rate, plus a very high inflation. Today, we don't have the inflation. So this was manageable for us. Nevertheless, we had a higher result than fiscal results, I mean, than the FFO. So that's why we are about to deliver the last piece of the distribution due to the fiscal result with resources coming from the first quarter this year, and we will be getting that done on March 15, but it was a lesser amount than last year.
Operator: Our next question comes from Mr. Juan Macedo from GBM.
Juan Macedo: I have a question regarding on the disposition pipeline. We saw a decrease when compared to the last quarter. Could you give us some details on the rationale. Were there less sale opportunities? Or is there another reason for this?
Andre Arazi: I think that goes for you, Gonzalo, on the changes on the M&A pipeline.
Gonzalo Pedro Robina Ibarra: Yes. Let me go over it. Actually, the main reason in order to change the total amount is that there was a retail portfolio that we got an unsolicited offer for it that at the end, didn't work out in terms of the pricing that we were expecting for it -- and right now, what we have on the pipeline, still one asset, which is on the orders category. We have a retail asset, which are the two mainly or the two largest ones and three office buildings and the total amount for it is MXN 4.2 billion, and that's what we are working on.
Operator: Our next question comes from Mr. Edson Mogi from Suma Capital.
Edson Mogi: I have a follow-up regarding on the office. Those three of these buildings that Tao mentioned for sale, it's part of that unsolicited offer that you received last quarter? That will be my first question. The second question is this per quarter, we saw an upward trend, if I can say that most of the tenants requested Mexican peso-denominated contracts. Do you consider that will be up trend for the following quarters?
Gonzalo Pedro Robina Ibarra: Actually, on terms of the M&A, the three office buildings are unsolicited offers for local developers that are willing to transform those three office buildings into residential. That's the type of buyer that we have for the three office buildings. And obviously, there are not the core office buildings that we have. And in terms of the trends of switching from pesos -- from dollars to pesos, I would say that probably right now, there is no resistance in order to sign dollars since it's cheap, always in the history of the office markets once the dollar is high, that's when the people has a resistance to sign dollar leases. Right now, we are not seeing that as a trend at all.
Operator: [Operator Instructions]. The next question comes from Mr. Josko from Bitesionas. Mr. [indiscernible]. Okay. We'll come back to that question. In the meantime, we will take the question from Mr. Aldrin Castro from Sura Asset Management.
Aldrin Castro: Following up on the office occupancy. Can you give us a grasp of what's going on in the office market in terms of occupancy and rate? Is -- are you giving some concessions in order to gain occupancy or what's going on in the market?
Gonzalo Pedro Robina Ibarra: What we have been seeing is that people is going back to the offices. There are new companies coming into the market. And we are not giving extra concessions on it. Probably what we have been losing are some of the already furnished offices with TIs in place. So there's no reason to give them any concessions, nothing out of the common ones that we have been seeing. And in terms of pricing, obviously, once we get to a certain hurdle in terms of occupancy, we will be able to increase rents. We are about to get there. As you see, there's already lease spreads on the office leases. Obviously, we would like to see a huge lease spreads there in order to get back to where we were prior to the pandemic. But first, we have to get the occupancy in order to increase the rents.
Andre Arazi: And I think we have been very consistent with the guidance that we gave in the market regarding the performance of the office sector. We expect it to recover when we were around 75%. We said that we expected to finish the year around 80%. We ended up with 81.7%, and we did not expect to see movement in the average rent level, and that's more or less what we're seeing flattish rents and occupancy recovery, as Gonzalo was mentioning. And that's what we expect to see for the coming months. Once I think we reached above 85%, 87% occupancy, there may be some price tension. But before that, I think we're focused on continuing with the occupancy gains and not pressuring the rent.
Aldrin Castro: Can you provide some color on the tenants that you are seeing?
Andre Arazi: Yes, we are on tenant. And also, many of our own tenants are asking for expansion on the area. But we have seen from all the industries coming back to higher new office space.
Operator: Thank you very much. Our next voice question, and we acknowledge the text as well from Ms. Gabriela Sapar from BCP Securities. Perhaps I will just read out the text question that Gabriel asked. You had a question regarding the IPO. When do you plan to do the IPO?
Andre Arazi: As soon as practicable, we're going to be ready, as Andre mentioned, we're continuing with the creation of next properties, and I'm having everything ready on our end numbers and everything, awaiting just the confirmation criteria from the set. But we're not stopping -- on the process on our end, and we are working, obviously, closely with the Sat to answer any questions or anything they may have so that we're ready as soon as possible.
Operator: Okay. Thank you very much. We'll give another 30 seconds or so for any additional voice questions to come. Okay. We have a voice question from Gordon Lee.
Gordon Lee: Just a quick question on the extraordinary and in particular, the form of payments. Some of your peers have decided to or have requested authorization and received authorization to make those extraordinary distributions in the -- at least a portion that doesn't require withholding in the form of CBFIs. Why did you not pursue that? And is that something that you may think about for next year if you have gains such as this one this year?
Andre Arazi: Thank you. Very good question, actually. Obviously, there is a possibility of issuing shares to make the payment of dividends in general, regardless of the fiscal situation that we're going through right now. It has never been the business model of the company. The business model is, as Andres always mentioned, very simple. I imagine when we get together and buy an apartment, we lease it, we collect the rent, we distribute it, and that's it. The business model remains the same. In this case, we had a situation which by the fiscal result requires us to distribute a little bit more than what we generated in 1 year. So what we did was basically take resources from the cash flow generated in the first quarter of last year to pay the fiscal results. And compiling '22 and '23, we still had a little bit more fiscal result than the operating cash flow generated, only 3% differential. So we're almost level at this point. And looking into the future, obviously, it's impossible to predict what is going to happen. I think that if I were going to call everybody in the call, nobody would have expected to see the peso below MXN 17, a couple of years ago, and yet we reached that number. From what I read, consensus on economists have a peso closer to MXN 18, MXN 18.5, et cetera. And historically, over the last 50 years, the peso has depreciated versus the U.S. dollar, given our differential in inflation. We have higher inflation than the U.S. So normally speaking, we should have a currency that depreciates. So this is an abnormal situation that we don't expect the situation to remain forever on the one hand. On the other one, there is a EBITDA initiative to work with the government to find the structure to not have to pay the noncash portion or not have to distribute the noncash portion of fiscal results so that you're not forced to distribute beyond what the company has generated in any given year. But I think at the end of the day, we'll cross that bridge when we get there we'll let's see what the year-end result is, where the peso is, where the inflation is and we may have a situation where we have a normal situation where we have a fiscal result that is smaller than the FFO generated by the company and then we'll level off and just have a normal distribution policy, which has had historically a component of fiscal result and a portion of return of capital for the cash flow that we generate in excess of the fiscal results.
Operator: Okay. Thank you very much. Our final voice question comes from Mr. Martin Zetsche from Fundamental Capital. He's asking why are we seeing low single-digit spreads in USD in the industrial segment versus other industrial players posting high double-digit numbers. Is it related to the way each one calculates that number?
Jorge Pigeon Solorzano: No. I think it has to do more with a case-by-case basis on the number of leases that get generated in each quarter, the starting point of those leases and where you are. But overall, we have an incredibly robust industrial sector like the one we have not seen ever in Mexico. So I think it has more to do with a case-by-case basis of the leases that were renewed in that particular quarter rather than anything specific.
Operator: Okay. Thank you very much. No further questions at this point, passing the line back to the management team for their concluding remarks.
Andre Arazi: Thank you very much, everybody, for your interest in our results call, and I hope to see you next quarter with, again, great news from our company. Thank you very much.
Operator: Thank you. This concludes today's conference call. We'll now be closing all the lines. Thank you, and goodbye.